Carsten Keller: Welcome to you all to TeamViewer’s Second Quarter First Half 2021 Results Call. In a minute Oliver Steil and Stefan Gaiser will take you through the business and financial update with the highlights of the first half. As always, we will conclude today's call with a Q&A session following the presentation. But before we start I would like to remind you of the note on forward-looking statements that you can find on page 2 of the presentation. Let me now hand over to Oliver.
Oliver Steil: Thank you Carsten. Good morning to all of you. Thanks for joining. So H1 2021, clearly our full focus for the first half of 2021 was on the execution of the various strategic growth initiatives that we've put in place as we told you to foster our profitable growth for a longer period of time. So it was a very eventful year, but at the same time the global sales team really concentrated their efforts on customer retention as we entered the first renewal cycle of the so-called lockdown cohorts from last year, so really Q1 and Q2. So it was a busy year, busy first half, and I think let me take you through the achievements, which we think are remarkable one by one. Look we start with our AR products and the strategic partnerships. During the first half, we continued to extend our solutions portfolio with a special focus on building really a leading position in the rapidly growing enterprise augmented reality market. Following, the Ubimax acquisition in 2020, we executed on our bolt-on strategy and we acquired Upskill in Q1 and Viscopic in May in Q2. By the way Viscopic is a leading German innovator of mixed reality solutions and interactive 3D visualization, which is actually in addition to the features that we have in the Frontline platform. So it has mixed reality and 3D components to the Frontline platform. And Frontline is the AR-based workflow and remote support suite that we're using for industries and enterprises globally. And the integration on Ubimax anyway very well-advanced. As you know but also Upskill and Viscopic integrations are progressing really very well. Good cultural assets and really good product fit as well. In addition to extending our AR capabilities, we did join forces with SAP to actually drive the adoption of AR technology and that's happening in the context of SAP's industry cloud. The recently announced partnership we will kick it off with the integration of TeamViewer Frontline into SAP solutions for asset and service management in the coming weeks so it's around the corner. And I think this partnership underlines TeamViewer's leading position in the enterprise AR solutions. And it also proves the scalability across use cases and applications. And I think that makes it even more compelling for customers, because quite some customers are interested in this integration of AR into their SAP back-end system. For example, we have customers today already Coca-Cola Hellenic Bottling Company, the largest bottler of Coca-Cola and for example DB Schenker, they are actually using TeamViewer Frontline integrated into their SAP systems. And that's clearly I think the future that people and companies try to integrate those to solutions to make it an end-to-end solution in their core operational processes. Also very important, the key to our growth strategy as we said is to raise our brand awareness on a global scale across all customer segments. The marketing partnerships that we entered into in the first quarter they have now been activated. Early days of course, but they have been activated with the introduction of Mercedes Formula 1, Formula E cars now carrying the TeamViewer logo. And we just recently launched the new Manchester United shirt for the season. So we are still preseason. I think there were two friendly games and we presented two jerseys with our logo. And I can give you some sets in the presentation. Quite impressive of course if you see the reach of these brands compared to what TeamViewer alone would be able to do. The other piece of the business, clearly Q1 and Q2, very much driven by retention efforts to retain the so-called lockdown cohort. So as a result of the team's efforts, we kept the subscriber churn stable, very important and we added 20,000 subscribers also in the second quarter, so very impressive getting up to 623,000 subscribers by quarter end. Again this can be a very small subscription few hundred euros and a very big subscription with thousands of devices connected. So with this increase in subscribers, we achieved a 17% year-over-year growth in subscriber numbers, which we have account think very strong given very elevated extra growth that we had last year. Clearly we retained most of these customers from the first wave. So it was very successful retention effort in that respect. But -- and that's the negative the renewal values in April, May were lower than we had anticipated. So we were a little bit too optimistic about the renewal value, quite frankly hard to predict. And we've told you that we saw activity on the license as in other years. So we're quite comfortable that these customers would stay with us and use because we saw the usage of the license. That turned out to be true. But then the one-year renewal in combination with the reduced lockdown effects and customers across regions going back to normal they had to reduce the capacity in some places, and sometimes also renegotiate price and that's reduced the renewal value. So as projected in the beginning of the quarter this down selling or downsizing led to a decrease in the net retention rate to 95% on a reported basis and roughly 98% when adjusted for FX from my opinion given the significant extra demand last year this is still a very good result, albeit below our expectations for Q2. Then we had a rebound in renewal values in June, which was good and we had a strong enterprise performance towards the end of the quarter. So I think we have a few weeks of the second quarter, which kind of felt normal after this massive retention efforts that we had. And with that billings growth came in at 18% at constant currency for the second quarter and 22% at constant currencies for the half year, so below expectations for the second quarter. But all-in-all for the first half I think still very solid if we compare or take into account the significant growth that we had in the first year last year. At the same time, we retained our sector leading profitability with 55% adjusted EBITDA margin for the first six months and also in the second quarter 47%. Finally, also what happened in the first half second quarter, I'd like to mention some additions to our senior management team. So we have Lisa Agona. She joined the Executive Board as a Global Chief Marketing Officer. And she will be the driving force of our marketing strategy. And we'll, of course, introduce her more broadly during one of the upcoming IR activities. Further additions to the senior leadership team are Patricia Nagle, as President, Americas; and Georg Beyschlag, as Executive Vice President, Strategy and Property Development. Both can draw from really many years of experience in their fields and they will be an integral part to our growth strategy. So what we'd like to do now is, to take a closer look at our subscriber growth and retention and especially have a look at our so-called core business, which is incredibly strong. And I think, we felt it might make sense to show you a little bit churn development and also the churn characteristics by segment. So, while we continue to ramp up our enterprise business, we're steadily increasing ACV and customer count. If you take the lower ACV customer segment, with now more than 620,000 paying subscribers, these are the customers that just from a numbers perspective are driving the churn rates that you see. And in prior years, there was a one-off positive effect, the churn numbers, they benefited from our most loyal perpetual customers that have migrated to subscription business works. So if you take people who have been still renewing their perpetual license year-by-year and then they moved to subscription, naturally you can expect that the churn rates are very low. And of course now, in a more normal situation, where we have influx of new customers, the situation is slightly different. And also, we rolled out a license at the lower end, so the cheapest entry license, the remote access license, to help expand our customer base at the low end. And it's a very good license, which is also together with the business license is a very effective product for free to paid campaigning. Naturally, subscriber churn in this entry segment is higher, leading to an increase in overall churn, which we saw the peak in Q3, 2020. And we then had of course an increase in retention efforts over the years. And through our very successful efforts there, since the beginning of this year, we grew net subscriber additions sequentially from 17,000 to 19,000 to 20,000 each quarter, while the churn rate remained around the 15% level, which I think is an important number to keep in mind. With our set of entry licenses, we provide customers with a range of packages that fit their individual needs in terms of seeds, number of managed devices and also other features, such as user and device access, reporting or mass deployment and so on. And while all licenses can be used to address remote access, remote support and collaboration use cases. This means, that the higher ASP licenses are typically used by larger SMBs and even enterprise, addressing various use cases, across on the other side on the one side IT use cases, but more and more of course OT use cases. The way corporate license can be used for attended access, unattended access and you can very well connect into operational equipment to this. Of course if you have customers that are more sizable, the larger end of the spectrum, corporate licenses and the usage into OT and the customers are generally stickier and of course they show greater up and cross-sell potential, which is resulting in lower subscriber churn and higher NRR. And if you look at the slide, clearly if you look at the corporate license, there we're talking mid high single-digit churn rates and not the churn rate that we see in the entry segment, so very stable, very healthy core from our perspective. This is also the area where our mid-market and solutions sales team then drive the billings expansions, because these are the customers that we try to upgrade into either Tensor or we trigger a cross-sell into remote IT management or augmented rating. What is also important of course is customer satisfaction. That's actually the beginning to kick start a successful customer journey and then have ACV expansion over time, which works incredibly well for us. And we wanted to note also that, several review platforms rank our entry licenses very highly. For example, TeamViewer won the Gartner Peer Insight Customer Choice Award 2021. We're top operated by Trust Radius. And also G2, which is a very important comparable site in the US, puts us very high in various categories. There's also review sites, where we need to improve. We're working on this. We take customer feedback very seriously. The market-by-market piece really also has to do with the free user and paid user experience and the transition between those, but we're working on that to really create the best user and best possible customer experience there. We go to the next page. I'd like to talk a bit about our enterprise growth and our customer base. So, during the second quarter, the number of enterprise customers increased again to 2,252. That's up 55%, while the billings associated to these enterprise customers expanded by even 66% to now 67.4 million over the last 12-month period. This means that the average contract value per enterprise customer has now reached €30,000, which is three times what we put as a threshold of €10,000, which we put out at the time for the IPO, where we said, we'd like to give you an indication of customers moving to five digits, because that's the different characteristics of customers. If you remember, when we started with this number above 10k, now this segment is on average at 30k, which I think is a good proof point of the enterprise success. Three elements are driving this growth. Firstly, we have new customer acquisition, very clearly via our mid-market and enterprise sales teams and also via partners. Secondly, we have very significant ACV expansion of existing enterprise customers by up and cross-sell. Here, we successfully moved 40 customers from the 10k to 50k ACV range to above 50k bucket, which now comprises 46% compared to 34% at the end of last year, also, very good success. And it's also very, very nice to see that we increased our 200,000-plus ACV deals quite significantly at the time of IPO. I think we had one deal in the category. Thirdly, upselling existing customers to above the 10k threshold, so TeamViewer's large subscriber base. I think we have of course ample opportunity to upgrade existing corporate licenses, the one I was showing before through the Tensor suite. So that's actually this transition point, where we try to use our sales channels to move customers to Tensor. What they get in exchange for it as they benefit from more secured features, such as conditional access, single sign-on. And of course, if it's a seamless platform provision, a seamless solution and across all devices and all platforms under single sign-on and security, which makes it much more usable for more use cases for our customers. If you go to the next page, you can actually see an example of this. I come to the deals on the right side but also just one example Heidelberg Druckmaschinen, as you know them global leading manufacturer of printing presses and solutions for print media industry 170-year history.  So in digitalizing the company upgraded to Tensor, to be able to remotely connect to its proprietary software solution and the machine worldwide to provide parts and efficient technical support around the clock. A typical example of customers who know us who use us in the IT environment and then expand the use of the product to the operations environment by connecting to totally different machinery than the office equipment. I mean why are they doing this? Of course reduction and machine downtime enhancing customer productivity is one example but very typical for what's going on in our enterprise move. You see here again in Q2, we closed a series of larger deals again across use cases regions customer verticals. First, on the list for example is a leading provider of packaging for consumer goods more than 20000 employees worldwide using TeamViewer in different areas. And their goal was to implement a group-wide remote support solution that is centrally managed and that can easily cope there -- with the increasing capacity needs. The Tensor suite provided exactly that plus convinced they convinced the client because of the security features like single sign-on seamless integration into Microsoft. Again frequent example, TeamViewer sit somewhere in IT departments around the organization but then they consolidated into a larger Tensor deployment benefiting from the integration we have with Microsoft ServiceNow Salesforce and the likes and of course benefiting from increased security, functionalities that are absolutely mandatory in today's world. Completely different use case is addressed by a restaurant chain which uses Frontline. Again AR solution industrial workflows. In this case used to provide employee training and to audit the food preparing process to ensure a high-quality standard. So a very different example, of using our solutions in a very different vertical and a very different business problem. As you can see from the list, we've been winning deals in many attractive sectors. It's health care, it's automotive, it's retail energy. So really it travels the use case is everywhere. And customers have increasing security demand, which we can meet. They require true interoperability and scalability, which we can deliver with our platform. And they also want the long-term partner that they can innovate together with and bring their digitalization projects to life. So we also do a lot of co-development with customers or enhance our solution -- piece of our solutions to make sure we have the best possible digitalization experience. Before I hand over to Stefan, to cover our financial -- and financials I would also like to spend a minute or two on the launch of the marketing partnerships. I've got many questions for that of course. After the announcement of our global sports partnerships with Manchester United and Mercedes racing team both Formula one and Formula E, which happened in March as I said, we've now started both of them and we were able to drive our brand awareness already although early days clearly. Just a few examples. So for example the Formula one launched in May, Formula one reached around five million people via Facebook and Instagram channels of our partner. Just to give you an idea just that launch that is 2.5 times more than our own Facebook and Instagram followers. So just by the initial launch small video that we've produced.  Additionally, I think a very interesting number. One thing we have on the slide. But just two races. We just got the evaluation and the assessment of the media value of the first two races of Formula one in Monaco and Baku so some weeks ago. And just those two races generated more than US$ 20 million of advertising value equivalent in media. So $20 million on just two races out of $23 million. Those of you following Formula one a little bit know that since Monaco and Baku the intensity of the racing has significantly increased viewership has increased. So it is very lively season this year and that will drive media value very significantly up throughout the season. That's the Formula 1, Formula E has in parallel of course much smaller. On the other side home shirt launch of Manchester United with our branding that happened in mid-July. A small video about this launch so no match, no player just an announcement of this alone, generated around 30 million of views in media coverage as well as 8.4 million views on the clubs digital and social media channels from LinkedIn to Weibo. So present everywhere really. And these numbers already show a huge impact that the partnership will have in the next five years to present our brand and – again it's just the beginning. It's not even a real game. It's not even real sports content. It a is pre-launch. Of course we're going to provide more measurement of this. We're going to measure the success of the partnerships going forward across three dimensions. Firstly brand activation. So brand awareness consideration media exposure. Then product activation so we can look at downloads and we can look at new use cases and product penetration of course. And then after all sales activation meaning win rates Net Promoter Score customer loyalty and over. It will – there will be more and more KPIs and numbers coming to show you the value that these partnerships create for us. But again please remind – remember this is just the beginning and football season hasn't even started. Additionally, to these external metrics it was also great to see how our employees became increasing excited about the partnership. Clearly these days employee engagement is very, very important. There is a war for good talent and hence we try to drive employee's engagement as much as we can. I think we were quite successful in involving them in the launch activities like meet and greet, participation at first event, all in the corona restrictions, but still possible and providing them with partner merchandise as well as content to share within their social network. So it's starting to move lots of content pieces created, lots of interesting material that people are proud of and share in their communities and that is being shared by the customer. And with this kind of first short glimpse on these partnerships, I would now like to hand over to Stefan, who will take you through our financial results in more detail.
Stefan Gaiser: Yes. Thank you, Oliver. Good morning, everyone. So let me summarize the financial highlights in terms of top line and profitability and all the reconciliation to towards our IFRS numbers. So as you've seen and read, total group billings increased at constant currencies at 18% and 22% for the first half. Clearly, short of our own expectations but still showing the TeamViewer continues to grow across all customer segments and solutions and clearly beating very tough comps from last year. IFRS revenues that will become an increasingly important metric for us, which can be derived from billings net change in P&L effective deferred revenue. They grew 7% and 11% for Q2 and H1 respectively. So growing below billings, why is that? Clearly, as you all know we fully discontinued the perpetual model a couple of years ago. However, in H1 2020, we still had around €30 million of those perpetual revenues in our P&L, which you don't now have any more in H1 2021. There we split that away and only take a look at our revenue from subscription model, which is ARR frankly. Those grew by 28% in H1 2021. So this metric will become more important going forward and therefore we start to disclose that as well. If you take a look at our profitability on the right-hand side of that graph, we clearly kept our industry-leading margins despite the significant investment in our future growth, mainly due to the step-up in marketing expenses our adjusted EBITDA in the second quarter remained unchanged compared to last year, while H1 actually grew 12% year-over-year yielding a margin of 47% in Q1 and 55% for the first six months. Next to changes in deferred value, EBITDA is adjusted for IFRS two charges the technical term, but that's largely relating to share-based comp. And we also eliminate some other non-recurring costs related to M&A or financing and acquisition transaction costs and so forth. I think important to point out here that, the most significant portion are IFRS two charges in relation to share-based incentive scheme set up at the time of the IPO through the selling shareholder and stock-based comp in connection with the Ubimax acquisition last year. Very important is that, both of those charges are non-cash effective. So it doesn't result in cash outflows and therefore those charges are booked directly against equity. And both of those charges actually will pretty much disappear in 2022. But as a result of those EBITDA in the course of IFRS decreased by 19%, but still yielding a 34% EBITDA margin compared with our IFRS revenues. So let's talk about billings and the billings dynamics on the next slide. I think Oliver explained a few of the dynamics already. Overall, very pleased with the subscriber development during the second quarter. Strong customer retention and adding new subscribers, and therefore, total subscriber count increased by more than 20,000 during the second quarter. Pretty much the same increase as in Q2 last year and more net adds than in the last few quarters, so very nice and good development. And obviously that represents a significant potential to drive growth within this very far – within this very large installed base. As Oliver already mentioned, only 2,200 of our paying subscribers fall into the enterprise category generating more than €10,000 on a yearly basis, this basically leaves us with a very large group of loyal customers which we can still upsell from our entry or core licenses to Tensor providing state-of-the-art features, which Oliver already mentioned, and obviously also sell AR solutions and remote management solutions into this installed base. We already explained that, all are happy with the retention of those subscribers, but clearly the renewal values in April and May were lower than anticipated as we just explained. Clearly, this had a significant negative impact on our net retention rate. The net retention rate for the LTM period was 95%, due to this onetime effect of rightsizing, as well as taking into account FX headwinds, primarily relating to the weaker US dollar. This also weighed on our NRR and reduced NRR roughly by three percentage points over the last 12 months. In June, trading momentum improved significantly due to this rebound of renewal values and a very strong enterprise pipeline conversion towards the end of the quarter. I think the continuing ramp-up of our sales force since the beginning of the year has clearly been a key driver resulting in more pipeline creation as well. I think by the end of the year, we've increased our total sales force by nearly 50% year-over-year. Let's cover the regional highlights. But generally, before we do that, I would generally say that, our significant increased sales teams have certainly not operated under the best and easy circumstances. I think we should not forget that merely all of our significant number of new joiners have not seen the nearest office, or hub, nor met their fellow sales colleagues or product management marketing at all during the last 12 months. So I think they didn't have any benefits from working with their colleagues frankly. So that made the initial ramp-up. Certainly, much more challenging especially for newer use cases newer products. This is now largely behind us people moving back to the offices and this should result in quite some acceleration and clearly better sales efficiencies in the second half of this year. Let's talk about the Americas. As we mentioned at the beginning of the year, we had a bit of a soft start as we mentioned, but that we – I said already quite significantly, very good pipeline deals and some early signs of moving up the value chain and now addressing larger ticket sizes in that market something, which was quite a while on our priority list. I think we talked about that, the ASP in the enterprise segment in the US should actually be higher than in Europe. I think now we see that in the enterprise pipeline at least. So, very pleased with that trend. And I think the trend towards larger ticket sizes is driven by a variety of profits good traction in augmented reality, but also our core enterprise platform all the larger ticket sizes and remote management. So, really very good traction moving up the value chain here. Generally, speaking all go-to-market channels performed well in the Americas again with the backdrop of people working remotely, which certainly made their lives tougher. But nevertheless Americas, again, contributed the highest growth of 26% in Q2 and 27% for the first half year, if you strip away FX impact. And as you all know, we have now a new President of the Americas, Patricia Nagle. And she and her team, they focus relentlessly on sales execution and moving up the value chain, as I just discussed. So that should bode well for the future. If we take a look at EMEA, most established the largest region. Last year, they benefited the most from last year's extra demand and this year vice versa. They were most impacted by the one-off rightsizing during the first half. Significantly, expanded our sales force and they were very successful in focusing on retaining customers. But clearly, overall renewal values were significantly below our expectations. Early renewals in Q1 also, we pulled forward some of the Q2 renewals. That didn't help either in Q2. While renewal is now sharply picked up in June, we all saw a very good enterprise conversion towards the very end of the quarter. But the rebound in performance could clearly not make up for the lower renewals, which we've experienced and therefore resulting only 40% growth for the quarter, and 21% growth for the first half. I would like to point out here that, the renewal values of our core licenses remote access business and premiums they were not materially subject to such rightsizing that took more place in the higher ASP values that customers bought in panic mode last year. While there's always slightly higher subscriber for those products renewal values are actually very solid and the average selling prices were stable and actually even slightly up compared to the first half of 2020. I'm generally very pleased, however, that the team now being back into our offices and creating lots of positive momentum again. APAC smallest region by billings large number of markets remains diverse to be frank in terms of performances and dynamics. Overall APAC growth was clearly below our expectations. That's not acceptable. Frankly a couple of specific points here. Japan first of all, we were not able to compensate for larger-than-expected down selling in Japan as you remember with an extremely strong first six months in Japan last year became one of the fastest-growing businesses within TeamViewer. But this year's development is so far below our expectations. New business win was not sufficient to compensate for down sell in Japan. I think the picture will now improve and has to improve, but this was something which we didn't have on the way seen. Performance in China overall also not satisfying. I think despite the fact that we won some early adopters of our used technology in those markets which is extremely good to see. I think the overall growth is not reflecting our ambition. But on the other hand, we also have very mature markets like Australia and New Zealand for example one of our more mature markets as I said but those performed very well. Nice customer wins across the entire customer segment including large margin national companies with now significant billings potential on the global level. So very strong performance in that part of APAC. Let's turn page to cover the cost structure. Again very high GP margin 92% remaining comfortably above 90% as our infrastructure really scales very efficiently despite the fact that we expand into enterprise with larger deals and more complex use cases. This cost structure also shows nice in OpEx especially in G&A where billings grew -- sorry where expense line grew less than billings in the first half. So quite some scale in the business model. Those scale effects we've reinvested in line with our growth initiatives clearly with a bias towards marketing sales but this year also around R&D. Brand awareness took a boost from the successful launch of the Mercedes partnership in May clearly reflected in marketing expenses doubling in the second quarter not only due to the marketing partnerships, but generally more spend in the marketing area. This higher spend was due to other marketing measures to drive brand value and product penetration. Sales expenses up slightly in Q2 in H1. We clearly grew our global sales team by more than 20% and by nearly 50% over the last 12 months. So very significant investments and they should now bear fruit in the second half of this year. These investments clearly go hand-in-hand in line with our ambitious growth plans. By taking together sales and marketing comprise now around 28% of billings. I think it's still top notch and well below other high-growth peers in the software industry. We also continue to invest in innovation and R&D -- in our R&D hubs in Germany and Europe. R&D grew quite substantially by nearly 40% driven by also some of the acquisitions which was mainly R&D-focused and really investing a significant amount of additional R&D resources on our AR products and design. But I think despite the significant investments we've maintained our high profitability in terms of EBITDA margins 47% and 55% for the first half as I mentioned. Bad debts pretty much in line with our framework slightly below 3%. Very stable development there overall. Maybe outlook statement on the marketing expenses. We clearly now expect that the marketing expenses will continue to build up the partnerships will fully kick in and therefore we project adjusted EBITDA margin to bottom in Q3 before increasing again in Q4 but the full year projection is unchanged with 49% to 51% adjusted EBITDA margin in relation to full year billings. Let's take a look at cash flows. Pretax cash from operating activities was mainly impacted by circa €30 million payments relating to the marketing partnerships. This is pretty much reflected in a similar increase in other assets in net working capital as you can see on the balance sheet. At the same time cash flow benefited from a decrease in trade AR lower CapEx and interest expenses. So all other operating metrics have actually improved, despite an increase of the gross financial liabilities of €400 million in Q1 we were able to decrease our interest expenses. And so I think very good progress on the financing side. After-tax level free cash flow to equity holders now €32 million and that represents a cash conversion rate of 57% of adjusted EBITDA. And I think on the next slide it wraps up our overall liquidity position which continues to be very strong. CapEx bolt-on acquisitions and interest payments comfortably covered by operating cash flow and increased cash and therefore our cash and cash equivalents increased by €28 million in the second quarter. So I think overall very comfortable position overall. Net financial liabilities have decreased by around €30 million. Net leverage ratio down to 1.5%. So clearly that gives us all the flexibility and fire power to execute on our growth initiatives. Let me point out that currently we have no plans to pay dividend as we clearly focus on our growth for this year and the years to come and therefore our guidance and provision remain unchanged. Now moving on to outlook. The COVID pandemic has clearly all historical demand trends. In 2020 we saw a temporary spike in additional demand for homeworking solutions resulting in extraordinary high growth while very successfully retaining those customers which we had won last year they adjusted and downsized capacities. This onetime effect was larger than anticipated. And new billings in the second quarter could not compensate for that therefore resulting in 9% reported and 22% constant currency growth in H1. And taking all of this into account we are therefore guiding to the lower end of our initial 2021 outlook for billings and revenue. This is an ambitious yet achievable target as we expect our net retention rate to recover to 100% or slightly more by year-end. We already saw in June a rebound of renewal values to normal levels as the down selling related to the lockdown cohort stopped in May. At the same time we expect a stable churn in up- and cross-sell into our large existing subscriber base to continue benefiting from further upgrades to our enterprise products remote management solutions and continued traction in the AR space across the sectors. In addition the like-for-like price increases which you mentioned they apply to broadly half of last year's annual recurring billings will mostly come through late Q3 and Q4 when long-standing subscribers have their renewals. And finally the negative currency impact on NRR will also end as a sharp depreciation of the U.S. dollar against the euro occurred in July 2020. So obviously with the current FX rates that headwind should disappear. Now the second key pillar for us is our new billings in the second half. The enterprise sales teams have built a strong pipeline of larger deals. We're looking to convert in the second half. Previous deals example such as [indiscernible] or others demonstrate that we have extended our solutions portfolio with very relevant products around digitization use cases which means significant efficiency gains for our customers. In several cases we have access to significant 7-digit deal sizes which might be a true game changer for our enterprise expansion. And part of the strategy is to continuously grow our integrations and partnerships like Oliver explained with the SAP partnership. This is clearly a major step forward here. And I think having access to SAP's customer base and a clear joint go-to-market strategy with our AR solutions portfolio is clearly expected to give us near-term billings results before year-end. But next to the enterprise also the momentum in the other sales channels is also strong as people especially new sales colleagues are back to the office now. And I think as I mentioned, they will now all benefit from working directly with their more experienced colleagues across all functions. I think seeing that rise again in the office, is very good overall. I think having grown the sales teams by nearly 50%, this will give us the actual weight in funds, which we need to actually meet our full-year targets. And finally, I think there's clearly significant momentum around the launch of the partnerships resulting in significantly more visibility across all customer segments. Maybe on timing of the second half. As in Q2, we expect larger deals to be back-end loaded in Q3 and Q4. Q4 will benefit from a very large renewal base as you all know throughout the quarter in enterprise buying towards year-end as usual. But Q3 will rely more on post some of pipeline conversion simply started around September time frame. Therefore our Q4 growth is expected to exceed Q3 growth. This will also impact adjusted EBITDA margins. In Q3, we expect it to be around 40% and in Q4 around 50%. Therefore, full-year guidance remains unchanged with an adjusted EBITDA margin between 49% and 51% of full-year billings. And this concludes the presentation now and we can open it for Q&A.
Operator: Thank you we will now begin our question-and-answer session [Operator Instructions] We have the first question is from George Webb Morgan Stanley. The line is now open for you.
George Webb: Morning Oliver and Stefan. I have a few questions please. Firstly, can you talk a little bit more about your level of confidence that this is a COVID cohort renewal issue you saw in the first half. I guess, we have the volume churn statistics which are helpful. But have you kind of segmented your customer base and looked into renewal patterns of the customers who were not upsold last year, or who were not net new customers? And when you look at that basic kind of non-upsold customers were their retention rate rate's comparatively stable on an ex-FX basis? That's the first question. Secondly, you mentioned the rebound in renewal values in June towards normal levels. Perhaps not on an LTM basis but on a cohort basis was that renewal rate already back into the triple digits? And has that sustained into July? And just lastly, on the enterprise segment. What's the current level of enterprise sales headcount? And can you talk a little bit more about, your level of confidence in the pipeline in the second half and is there any specific solutions driving that? Thank you. 
Stefan Gaiser: Sure. Let me ask -- thanks George. So as you can imagine we did a significant amount of analysis on our churn behavior or subscribers churn and the down sell. I think what we really found out is that this is not a churn topic but clearly a down sell topic across all geographies as I mentioned. The churn -- subscriber churn is stable as you pointed out but also if we actually dive one level deeper and take a look at the various churn indicators on single licenses, for example, whether it's remote access business premium they all have trended favorably at least stable if not slightly improving. So from that perspective we are very comfortable that this down sell is a onetime effect by all what we see and also talking about July this down sell is over. That was mainly an effect from March through the May period. Again we didn't have that on the radar screen. Maybe we've been a bit overly optimistic here but it's been a onetime down sell effect. Underlying churn metrics, by customer segment and by region as of date stable or actually slightly improving. And then maybe in terms of enterprise pipeline and what we see there and our staff generally. We've significantly, expanded our enterprise sales team. I think it's now around 100 people give or take, yes? I would state that, we have not been happy with the productivity the first -- or the last six months frankly. Variety of reasons for that. I feel clearly, onboarding wasn't the easiest time for them. Joining a company with new products and new use cases and working remotely complete that didn't help frankly. But now we've seen significant improvement towards the end of the quarter. But I think it's too early to make a consistent theme out of that. What's very good and pretty new is that the deal sizes, which we are seeing in the pipeline have moved significantly up. We see a significant number of deals, which are high six digits or as well as seven-digit deals. I think that's new, mainly centered around augmented reality solutions but also including some larger enterprise platform deals across entire companies. I think that's something new. Clearly, we need to close those deals. As you can imagine, the entire organization is really very close to those sales processes. We would have hoped to close them one or two of them already in Q2. That hasn't happened but they are still very much alive. And I expect them to close either in the Q3 maybe or latest in Q4 but that will be a key pillar of our reacceleration of net new billings in the second half. But those deals are for real, very close, very good customer interaction very interesting and exciting use cases and now we need to close them.
George Webb: Can I start what are the sales practices for the enterprise business at the moment. Is it still mostly virtual? Are people back on the road what's the dynamic there? 
Stefan Gaiser: No, they're back on the road again to a certain extent yes. I mean clearly, it's taking slow even if we would like to visit them. Some customers have practices, which doesn't allow for physical presences. But I think what's much more important is that we internally had the chance to get together and rally the troops and do live product demonstrations sitting together in a room for a few days educate our salespeople sit together with marketing guys sit together with the broad management guys. So I think that all didn't take place or it took only place in a virtual environment. And I think especially, if you're a new sales guy covering new products, which the team has recently acquired that's just not the best background so to say. I think that has changed during June and especially, July time frame. 
George Webb: Okay. Sorry can I ask one more time on the renewal values I guess, if you're saying you ended the year where you expect to get back to 100%. That would imply in the second half specifically, your retention rate is probably a little bit over 100%. Is that supported by June or even July so far?
Stefan Gaiser: Definitely by June yes July now always first start in the month is always a bit different dynamic frankly but definitely supported by June, yes? And I think the biggest impact again, which drove NRR down is the down sell that has clearly disappeared and the FX headwind. And based on how the FX rates are right now that has also disappeared right? 
George Webb: Got it. Thank you very much
Operator: The next question is by Stacy Pollard JPMorgan. The line is now open for you.
Stacy Pollard: Thank you very much. Now you gave us margin expectations for Q3 and Q4. Can you also give us a sense of billings growth ranges for those courses? And maybe just a little bit more about how July is trending? And then the seasonality for the enterprise business, are you expecting this to be quite heavily Q4-weighted matching the enterprise software market? And maybe a follow-up after that.
Stefan Gaiser: Yeah. Maybe with regards to Q3 and Q4, look I think Q3 is especially for the enterprise only a few weeks of effective sales and pipeline conversion, whilst obviously going into Q4 customers and our salespeople they know this is the most important quarter. So I would expect Q4 to be substantially above Q3 growth rates. If I put it like that probably too tough to give precise percentage growth numbers, but there should be a significant margin between those two quarters in terms of growth rates. Generally in terms of seasonality on our business, clearly now post-COVID Q1 and Q4 have significant renewal cohorts or renewal amounts and then followed probably by Q2 and Q3 is always the slowest quarter in terms of billings contribution overall. Clearly this year, I think our growth initiatives are very much biased towards the enterprise business and therefore more back-end loaded. Clearly enterprise is a key pillar also in the future years and maybe it will continue to be back-end loaded. But clearly we expand our business, we expand salespeople we release new products and that always happens obviously during the year and therefore you should see a sequential growth. And that means Q4 should always be one of the strongest quarters.
Stacy Pollard: But you are still sticking to the over 20% for the second half for each individual quarter. Is that right?
Stefan Gaiser: Yeah. Clearly we need to achieve north of 20% in the third quarter to get to full year, I would say.
Stacy Pollard: Yeah. Okay. And then sorry second question. Just looking at the potential…
Stefan Gaiser: Sorry, one important point is given those seven-digit deals. I mean, they have a significant impact on our overall billings numbers, right? If you close one of those or two of those deals, it contributes a couple of percentage points. And that obviously means it has some lumpiness on our overall billings as we move more forcefully into the enterprise business.
Stacy Pollard: Sure. Yeah that makes sense. Just the second question, I was looking at the potential in AR. What would you say Frontline is as a percentage of billings today? Where do you expect that to go? And is it typically a cross-sell into the Tensor installed base, or is it more of a stand-alone sale?
Stefan Gaiser: Right now I think it's between 2% and 3%. They had a very good conversion actually at the end of Q2, I think clearly the first couple of months. Generally speaking the enterprise sales team had a tougher time frankly. They focus much more on getting to know the product the new use cases and so forth and building pipeline. But conversion of the pipeline was good towards quarter end. And, sorry, the second part of the question was…
Oliver Steil: New versus cross-sell. So it’s both. We do have the opportunity to present augmented reality to existing customers. They then typically start a proof-of-concept -- paid proof-of-concept to have a test installation, which then in the past experience of Ubimax very often converted customers and like the solution. But there's also entirely new customers, which are -- just came through being interested in augmented reality. So it's the new flow so to say. So we have both. And of course in a few weeks' time we will also add to that partnership with SAP as a channel of inflow for need and opportunities in this space. But generally speaking I think the AR environment is something where SAP looks to do it's quite interestingly also Microsoft and others. So that's a very interesting place. And therefore we also get entirely new leads of customers, which we haven't worked with before.
Stacy Pollard: Thank you.
Operator: The next question is by Mohammed Moawalla, Goldman Sachs. The line is now open for you.
Mohammed Moawalla: Great. Thank you very much. Morning, Oliver and Stefan thanks for taking my question. I have two. The first one is just around the over 100% net renewal rate that you anticipate in the second half to get your annual expectation. Given your expectation of stable churn, can you perhaps walk us through the different dynamics across SMB upselling, but also clearly you're now realizing that -- or you're expecting a lot bigger contribution on enterprise what are the building blocks around that? And then secondly on enterprise, I mean you talked about six-figure and seven-figure deals. I mean we've seen a lot of software company’s talk about larger deals closing perhaps a bit more early year-on-year versus Q4. So I'm curious to get your commentary around that visibility around sales cycles and to what degree some of these could close in Q3 rather than Q4? And whether you have any control around the closure of those deals, or like last year it's going to be much more back-end loaded? Thank you.
Stefan Gaiser: Sure. Maybe on NRR reported, NRR is 95% now. Two major impacts here, a FX reduced NRR by three percentage points. So sweeping that way it would have been at 98%. I think now as we enter H2 will be more like-for-like. So that obviously means we're already close to 100% all things else being equal. Then most important was the down-sell impact on our NRR that reduced the net retention rate by four percentage points give or take. And so if you take away those two impacts, the FX and the down-sell, NRR would have been north of 100%. So frankly it doesn't take a whole lot to get NRR back to 100% again. I think really FX, obviously, we can't influence. Down-sell from all what we have seen has disappeared and now it's more like the usual up and cross-sell, and that should get us back to 100% already in -- hopefully in Q3 and then clearly in Q4 coupled with the price increases. But for me it's more like really those two impacts the down-sell, which reduced it quite substantially that has pretty much disappeared now and the FX impact. Then maybe on enterprise and sales cycles, it's a good question. May be different by region, I think in the U.S. we have significantly strengthened now our enterprise muscle and DNA over the last couple of weeks and months; A, by more and better hire's in the enterprise segment over the last few months. Also we made the acquisition of Upskill, right? I mean, they were used to sell into large enterprises Boeing and a few others. Average ticket size already been significantly higher and they obviously are very familiar with OT environments, right? And I think that's something, which we led to a certain extent in the US. Now we see those deals. Some of them have been in the pipeline since a while. So it's not necessarily these which showed up a couple of weeks, but already been in the pipeline for a few quarters. Progressing, we're close to decision points already in Q2, now being live again reactivated, and I would expect them to close in -- certainly in Q4. Q3, let's see. As I said at the beginning, I think, September -- well Q3 generally is just a very short quarter for the enterprise team, because vacation time and whatnot, and then sales cycles on top of that means they could fall probably into Q4, but let's see.
Oliver Steil: Also I think it's important, because you're asking more the ability to pull forward. I think most of these enterprise projects are new digitalization projects. So customer needs to walk through proper installation proper testing, and also proper purchasing cycle -- procurement cycle. So it's not that this is a call it an ERP installation, which is running anyway, and then you discussed the new multi-year deals, and whether you discuss it in Q3 or Q4 is a little bit at our discretion I hope. That's not the characteristics of our projects, and hence, there's only so much we can influence that. And so I think the quarter as Stefan said, it's not the greatest quarter for new projects, but still we have strong pipelines globally. We have the people on board -- a significant number of people on board now that can lean into this, and we will do as much as we can in Q3 already of course to derisk, but Q4 will be the biggest piece. 
Mohammed Moawalla: Got it. Got it. And if I could just squeeze one more in. Obviously, there are a lot of gating factors this year kind of post pandemic. But as we look to maybe next year and kind of ramp to your kind of mid-term ambitions, clearly, it sounds like you probably are expecting the sort of acceleration to happen. It sounds like on the enterprise side your kind of confidence is building. Can you maybe just walk us through the kind of the building blocks or the bridge around sort of €1 billion of billings that you reiterated in 2023? Where is the kind of the incremental confidence coming from? 
Stefan Gaiser: Look I think that hasn't really changed. Clearly, in the first six months, we had tougher times than expected, but it was mainly one-time effect. Frankly, I think we've been a bit overly optimistic on the retention and the potential value of our COVID cohorts. And clearly, I think 2020 also under normalized non-COVID environment, I think, our enterprise pipeline conversion also the SMB segment performed extremely strong. So I think the first six months was much tougher than expected, but that doesn't change at all our confidence in our €1 billion billings goal in 2.5 years out. I think we clearly have what it takes. We have a significantly expanded solutions portfolio. We have the subscriber base, frankly, and there's so much headroom to grow in that subscriber base. And I think those are from my perspective, the key pillars is the solutions portfolio and the subscriber base to get us to the €1 billion, yes.
Oliver Steil: And also a better regional and go-to-market quite frankly. I think given COVID situation now over the last almost 12 months, I think, the physically go-to-market people walk into people had difficulties clearly. We're also building a better broader marketing organization now with Lisa Agona being on board, and also driving the different functions in the different regions, so that was always very much focused on Europe naturally and then the US to some extent. But the global marketing organization that drives demand generation across the globe needs to be built up, so there's a lot of movement there. The quality improvement also and the stronger enterprise focus in the Americas. If you remember, we were running out of one office for a long while Tampa, Florida really not the space where you are closest to enterprise customers across the US. So now we have offices in Austin. we have offices in Atlanta. and an office outside of Washington. plus Tampa. So we really breadth our organizations more. We have more people now. We can also lead those people more that will drive enterprise, that will drive operations use cases also more in the US. And then last but not least, APAC some construction site as Stefan mentioned in China, and also getting Japan back on growth track after the -- I think grew 112% last year or so. So there's a normalization effect there as well. So many of these things need to get into the normal flow that we have seen at the end of last year, and before the COVID crisis. So that would be a much more balanced business development going forward to contribute to the growth, which we have always achieved before.
Mohammed Moawalla: Okay. That's great. Thank you very much.
Operator: Our next question is by James Goodman, Barclays. The line is now also open for you.
James Goodman: Good morning. Thank you very much. Firstly, just on the renewal point maybe you can help me with one thing, I'm just not clear on which is if we look at the specific quarterly drop in net renewal into Q2, which is you very clearly outlined is due to the COVID cohort the down sell. Can you just help me with the Q1 to Q2 dynamic? Why didn't we see a similar effect of the same magnitude last quarter given that was sort of a bigger COVID cohort, so I can reconcile that? And related to that, maybe you can make a comment on the remote access product, which you called out on the slide. It seems like it's getting some good demand. But is there any tension there in terms of maybe some customers at lowest in the end adopting that product when maybe they otherwise would have taken the core product or something of that sort of effect? And maybe just then separately, I think, you've talked in the past about Net Promoter Score. You talked in the presentation about customer feedback and its importance on the product functionality. But any comment you can make in terms of where currently your sort of Net Promoter Score is how you're thinking about the feedback across the customer base more generally across everything from sort of free to paid conversion through to contracting and product capacity? Thank you.
Stefan Gaiser: So let me start with the first two questions. On the renewals, on net retention rate, the way how I see this really take a look at Q1 and Q2 combined frankly because there was so much noise around quarter end with pull forwards and significantly engaging with the COVID customers whether that's March, April or May time frame was kind of irrelevant, yes, to the way how we see this is really one period so to say and that was like 95% for the last six months combined. I think I mentioned at the end of Q1 and there was also my tonality around Q1 is that we clearly saw that the downturn is more or is higher than we anticipated. And I hinted towards a lower net retention rate in the mid-90s and that's exactly what happened. Q2 I think was now a net retention rate of high 80s, a little bit of pull forward into Q1 as I've explained, but generally normalize towards the end of the quarter, and from my perspective it was really like around 95% for the first six months. And that's as I said FX three percentage points and four, five percentage points down turn. That's the key drivers there. Remote access I think we need to put that in perspective overall that contributes only a few percentage points to overall billings. I think we launched the product in 2018 really as the entry version really also to monetize customers during free to paid campaigns effectively competing against other low-end competitors. But in the overall scheme of things it's two, three percentage points of overall billings not more than that. What we've seen there is same dynamics churn, as Oliver mentioned, is high 10s low 20s. That has flattened or actually improved slightly as well. But frankly remote access will remain the anti-version working from home solution for single users. You will always see some higher churn there but it's good to see that churn has not decreased. In fact it has slightly improved.
Oliver Steil: Specifically, I think you were asking also cannibalization is that dragging people away from the business solution product? Typically not. So, in markets where we had this product we were adding we were nicely growing. I mean that analysis we did already before COVID. So, post-COVID maybe changed some of the dynamics there. But generally market-by-market that was the effect. Of course there is people who are now buying the remote access product who would have otherwise bought the business license to a smaller extent or smaller cannibalization. But that is quite frankly good cannibalization because if you're just individual user you want to connect and work-from-home you should have the remote active product. Otherwise, you would have a broader product overpay. And I think long-term that's not a good strategy. So, therefore I think for personal use that's actually quite a good product. And then maybe going over to NPS across the base. Of course we look at NPS. We do NPS -- we do press, we do surveys post service card service. We're also going to have sales call surveys. We measure NPS, NPS value. This is by region of course. And generally we're now at last month we've seen 40 -- NPS 40-something global view. And so for actively trying to improve the whole process. I think the one -- the two biggest drivers I mean if you take away like low availability of our sales force if we have peak times which we had last year or any other kind of operational hiccup on the CRP [ph], the two drivers which we always need to watch is the free to pay conversion as you know when customers are asked to buy a license and they don't like it. And secondly, it's the auto renewal that we -- the auto renewal practices in some markets this is still absolutely common to have an auto renewal, in some markets, we have to move away from it. Other markets, we need to remind customers properly. So, there's constant readjustment going on to be in a proper place there. And these are the two drivers that we grow from. And then, of course, we have app usage app ratings and the like and the likes where we also are quite actively and trying to make sure we have surveys and we get rating from customers that like our product. I think our key issue in this respect is one of the key issue is that a large free user base rating us and commenting about something which is more frustrating for them maybe when they need to buy a license which is not the intrinsic satisfaction with our service or product and balancing these two inputs is quite important. If you look at G2, we go very well because they have a very strong filter in asking subscribers to raise the product and not all free users. Draft pilot is different but we're also working to improve that process as well.
James Goodman: That’s helpful. Thank you. Appreciate it.
Operator: Our next question is by Gianmarco Conti, Deutsche Bank. The line is now open for you.
Gianmarco Conti: Hi Oliver, hi Stefan. Thank you very much for my question. So, I actually have a couple as well. The first one is from my understanding of the SAP partnership that Ubimax is now integrated with SAP's asset for the management solutions. So, could you just kind of explain to me how much value add do you expect from this partnership in tangible terms? Like if you could provide the concrete example that would be great. And just sort of like the timing that you expect to re-benefit from it. And the second one is in relation to are you already seeing like some activation from the F1 events? Are you able in some countries to showcase with your local sales force to potential CEOs some use cases at these events itself? I'm just trying to understand whether there is some level of sales activation from the recent F1 events. And then, yes, I'll take another one after these two. Thanks.
Oliver Steil: Yes. So, SAP partnership, what is the value add. If you think about a typical SAP customer ERP system, finance system, HR system, product management system, often in industrial for the whole part flow is modeled or in the SAP system. If you then take the other side of the operations team which for example the warehouse where people are working taking parts and putting it together commissioning parcels then there's an obvious link that whatever is the picking flow is linked to the SAP system. When you have a manufacturing situation, then whatever part is mounted or assembled, there's an obvious link to the SAP system. So, if you have an end-to-end solution, you can -- you have access to all cycle-times, movement data, timing data, quality data, and picking levels or inventory levels directly from the person who forms the glass or the tablet that the person is wearing into the back-end system of ERP. And that's what some of the customers had already kind of built by themselves, but the big value add is that we now go to market together so the customer is getting out of one hand, so to say or two hands but in a joint sales approach versus needing to build something on their own. And that's a very strong value add for customers. When will this impact? I mean we're going to launch it technically in a few weeks' time. And then we need to see how hot so to say the initial release that we have on the pipeline are. We have significant leads already. Whether this is a Q3 conversion game I doubt it. That's too fast for these type of projects, but Q4, we could see a nice contribution there. I mean SAP is very eager to market to showcase this as soon as possible --. And it's nothing which is call it we just totally new and a new solution that you need to present. It's an obvious proposition to customers to say here's SAP here's Frontline AR extension that can go together now. And I think therefore we believe there can be significant impact already this year. Formula 1, so, what's happening there? We have the first few races. Hospitality starts to work. Monaco was an internal launch. Baku, we didn't do anything. But since then we brought customers to Formula 1 and Formula E races. Currently, honestly it's relationship building. There is no way at the moment or hasn't been any way to showcase solutions really. A we want to build more solutions together, but also you cannot really bring customers the pit lane, to the garage, that’s not possible yet. Also the factory wasn't accessible yet. So this year, from that perspective, is a little bit difficult. But we're working with Mercedes on codifying these use cases, creating the marketing collateral to be able to talk about and show around more of it. Again, that's also a topic for the remainder of the year towards, I would say, later in the year. And then with the Formula E season start next season I think we will see more of that. So currently, its brand building, awareness, its hospitality and the concrete use cases that we can show will follow suit.
Gianmarco Conti: Right. Okay. So just a follow-up and then I have another one. So are you expecting then over the next couple of F1 events to still not have -- to somewhat be able to showcase anything to customers. And you mentioned you're working with Mercedes to codify these use cases. Could you share a bit more color on that? Like how exactly are you doing that? I'm just curious to see whether you're actually making use of some sales force there, or is it just like this is currently a standby. We can't really do much because of the restrictions and depending on where the event is and so on and so forth? And just the final one for me is, I noticed on the ACV for enterprise so it was quite a spike in the number for ACV over 200,000. Was the result of the large contract won at the end of June, like, what is driving the absolute increase in ACV for your enterprise customers? I'm just curious if that's a one-off effect or is that just strongly demand from generally enterprise billings?
Oliver Steil: So I'll take the F1 first. I would say, it's the middle of what you described. It's not that we can't do anything, but we have to work around COVID restrictions. So concretely that means, we are in discussions with Mercedes, both Formula 1 and Formula E to create marketing materials around existing use cases or remote control of devices and remote control of IT equipment, which we have. That will take a while to get that done, but that's the easier piece. And then, of course, newer use cases where they will use more of the augmented reality piece in the factory and in the pit lane that is some months to go and we need to see how speedy we can be on this one. This season, clearly, is a stop season. We only started in May, so late comers. Very late to Formula E and late to Formula 1. It was always clear that it's a bit restricted and that's also reflected in the pricing structure for this season, but there is stuff that will happen throughout the year.
Stefan Gaiser: Maybe in enterprise, ACV site, nothing special. I think, it was just a really good execution across our installed base with a couple of nice wins in the 100,000, 200,000, 300,000 range, yes, with existing customers, but as well as new customers. And that's much more like we won those customers, especially, in the asset scenarios, we won those customers maybe a year or two years ago. And now we're moving them up to significantly higher ASPs and that's what we see in the pipeline, right? Maybe you start with the POC of 10,000, 15,000, 20,000, but then suddenly you have a ticket price of 150,000, 200,000 and some of those deals which we have now closed and that led to that nice shift in our enterprise. It's just a testament from my perspective that we are successfully moving and expanding into the enterprise segment and that we have the products and solutions to get there.
Oliver Steil: Yes. Maybe one anecdote for those of you who have been around in the -- at the IPO time. At the time, we had won this first, at the time, largest deal in the Americas, €80,000, and the question at the time was, well, where can this go? How does this move? This customer is still with us, is now sitting at almost $300,000 -- more than $300,000 so a little bit lower than €300,000 through additional use of the product in various areas and more capacity needs. So a nice example of how these customers are basically growing in capacity over time. And that's within two years, effectively against the second renewal as we move in almost for the…
Gianmarco Conti: Great, great. I see. Okay. Thank you.
Operator: Next question is from Gustav Froberg, Berenberg. The line is now open for you.
Gustav Froberg: Thank you very much everyone. I have two please. Just first, could you maybe talk a little bit more, just about the contribution to growth in the quarter, maybe Q1 and maybe also Q2, actually -- sorry, all the way around. Just coming from augmented reality versus the core business? So how much of billings growth is actually coming from the AR solutions that you bought last year? And how much is core? And then could you maybe also talk a little bit more about the trend in monthly active users, please, on the platform and just what you're seeing kind of H2 last year versus H1 this year?
Stefan Gaiser: Yes. Hi, Gustav. AR growth clearly outpacing the remaining growth of the core business as it should be, frankly. I think we had planned that this business should grow in the 40% 50% range. Maybe in Q1, a bit of a slower start, given that this was a new product which we exposed to lots of new salespeople so to say. But then at the end or middle of Q2 it significantly accelerated. Overall, we probably have achieved that growth rate in the second quarter. So nice uptick and now also the pipeline actually, especially the larger deals, are very much focused on those use cases, as is the SAP partnership? And so, from my perspective, maybe a little bit of a slower start in the first couple of weeks and months, but then significantly accelerating. And I'd be very confident, this business will be a significant accelerator to overall billings growth.
Oliver Steil: Of course, it is growing very, very nicely and we're positioning in the enterprise pipeline, absolutely. But, of course, if you take the overall business -- the contribution to overall growth, it's still relatively small, as enterprise is now sizable, growing nicely, but it's by now also still a smaller part of the business. And then, the AR piece and this is even smaller part. So that also shows you there's a way to go and significant potential going forward. But it also shows that the growth on top of the very, very strong cohort last year has actually been generated by the core business across all regions. So it's an incredibly strong and robust growth trajectory that we have there. And the AR piece, the enterprise piece, they are on top of it. Second question, I think, was users on the platform, probably talking about free users or can you -- what exactly do you mean? 
Gustav Froberg: Yes. Its actually, just generally, kind of, free users, but also your subscribers that are using the software as much as they were last year. And then I'm particularly interested in H2, because obviously H1 last year was a bit special.
Stefan Gaiser: So, clearly, we saw a spike right in the platform usage and active devices, given the pandemic. Then we have started to monetize some of them starting in the second half of 2020, then pausing it in Q4 again, starting it in Q1 and Q2. So now it's at more normalized levels again. Now we have stopped campaigning again in the third quarter. And therefore, from my perspective pretty much unchanged picture.
Oliver Steil: Yes. And then, generally usage of the free users I think the peak was last year as Stefan just said. We have been more restricted – restrictive in free user management in some markets that typically drive – or can drive an enormous amount of free usage. So specifically, that's China, India and some other Southeast Asian markets. So we have increased, especially in China, we have increased the scrutiny level of allowing people to use our free products. You have to have an account you have to have in China even a mobile phone number because we wanted to take all the kind of broad usage and machine usage out of the system because this kind of high free-user numbers that can never be monetized don't help. And it's also putting load on the infrastructure and it's also not fair compared to paying customers. So we have been more restrictive there. And that has reduced the number of free users in some large geographies. And the picture you see is I would say a slightly condensed after COVID has slightly condensed free user base but higher quality free user base which also allows monetization and has allowed monetization.
Gustav Froberg: Super. Thanks.
Operator: The next question is by Ben Castillo-Bernaus Exane BNP Paribas. The line is now open for you.
Ben Castillo-Bernaus: Thanks very much for taking my question. Just more broadly clearly the enterprise momentum is strong. The SMB part is still the majority of filings. So can you just help us with what's going on there what the growth rates you are seeing of your own business. What you think the market is growing up in the SMB phase for remote excess, we think competitively what’s changed and what degree you have pricing power, all those elements will be helpful. And then actually come back on that free model that number of free users. Can you give us an idea of what your penetration is in terms of the 620,000 paying subscribers as a kind of rough estimate of your total user base. Just trying to get an idea of how much headroom you have there to continue to monetize? Thanks very much.
Stefan Markus: I'll start with the ecosystem maybe first of all, so the 600,000 subscribers. I think the way how we see that is that we select the same potential to monetize around 620 million on a year basis of free users. I think that hasn't really changed. I think we have a good path in 2021 as well. But obviously, if you put that in the overall context it's becoming less and less meaningful, right? A couple of years ago that was 10%, 15% or even more of our new billings and now it's substantially less. So I think that's from my overall perspective becoming a less meaningful number. The penetration rate, obviously still a significant headroom because most of our connections are from free users, right? I mean we have millions hundreds of millions of devices which are free devices, which are not part or attached to a subscription convector there's still significant headroom. How much of them you can monetize? Tough to say as I think from my perspective we are happy with the €20 million monetization goal on a yearly basis. And that's what we are working towards.
Oliver Steil: Yes and keeping the funnel relatively favorable inflow of new users and then monetizing part of that and making sure that the user base is right above. But that's a general trend I would say in the industry to be more restrictive on free usage for security reasons as well. I think quite some companies, smaller companies are using free version for business purposes, which is ultimately not the right thing, independent of any commercial consideration but also I think from a securities consideration there should be an account. You should know what this customer is. You shouldn't let these customers just free floating use your network without any ability to find them. If there is that connection, that sector I think the whole industry has gotten more scrutinized on the premium product maybe not at the lower end but on the premium products. That's absolutely where our enterprise customers are also asking for. You may watch the time a little bit. So your other question on dynamics SMB what's going on there. I would say it's really like if you go back two years in time I think the market studies on IT, connectivity, SMB, this all didn't look very interesting maybe from a growth rate perspective. I think what we see is constantly over the last years we are defying gravity there. We grow. We grow in all product segments we grow in all regions, we're growing our most mature markets, we're able to up- and cross-sell into the subscriber base. We also – as you know we told you about the renewal price increase of a few percentage points. We do have the pricing power. Are we losing a few subscribers to competition at the low end? Yes definitely. We see that in churn – in the low-end churn numbers. But generally speaking we are very happy, very happy with the robustness of our core user base and the up-sell and cross-sell parts that we see. Typically customers who like the product consume more over time. For years we did a good cohort analysis of how customers grow the ACV with us. The ones that stay after year one I think that's a constant development. So we feel very good about the dynamic there. That's not to say that we had a few missteps in some markets maybe and didn't get it fully right in some of our growth markets like in APAC. But generally speaking, very, very, very good and healthy part of the business at low acquisition cost and high efficiency.
Ben Castillo-Bernaus: Very good. Thank you.
Operator: The next question is by Victor Cheng Bank of America. The line is now open for you.
Victor Cheng: Hi, Oliver, hi Stefan. Just one question from my side. Two of the enterprise examples that you have provided, how many of those are greenfield opportunities that may be particularly those around AR? And then how many of others are more about this specifically existing products? And if so what are they – what was the competitive dynamics around that trend? Thank you.
Stefan Gaiser: Sure. So the vast majority of those deals are greenfield frankly. It's not competitive especially in the AR space.
Oliver Steil: Yes AR space almost all greenfield. And on the Tensor platform product, I would say that at least 70% of the 80% or so is without competition but it's really the question is how much will the customer digitalize how much remote work will be done with an external party. And very rarely we do a list of like say log me in [indiscernible] or anybody else. 
Victor Cheng: All right. Thank you.
Carsten Keller: Thank you, Victor. So thank you very much for your attendance. If there are any follow-up questions, follow-on questions, please reach out to the IR team. And again thank you very much.